Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Cibus Second Quarter 2023 Financial Results and Corporate Update Conference Call and Webcast. [Operator Instructions] This conference is being recorded today, August 10, 2023. At this time, I would like to turn the conference over to Wade King, Cibus' Chief Financial Officer. Please go ahead, sir. 
Wade King: Thank you, and good morning. This is Wade King, the Chief Financial Officer of Cibus. I would like to thank you for taking time to join us for Cibus' Second Quarter 2023 Financial Results and Corporate Update Conference Call and Webcast. 
 Presenting with me today is Rory Riggs, our Co-Founder, Chief Executive Officer and Chairman; and Peter Beetham, Co-Founder, President and Chief Operating Officer. The press release detailing these results crossed the wire early this morning and is available on our company's website, cibus.com. 
 Before we begin the conference call, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. 
 Please refer to Cibus SEC filings for a list of associated risks. This conference call is being webcast. The webcast link is available in the Investor Relations section of cibus.com and will be accessible for 90 days. At this time, I'd like to turn the call over to Rory for his opening remarks. Rory? 
Rory Riggs: Thanks, Wade. Welcome to our first quarterly release, which we're really excited about. Financially, this quarter will be a little bit different from quarters going forward as our financial results for this quarter only reflect 1/4 of the combined operations of Calyxt and Cibus as merger [ was ] going to be effective on June 1, 2023. 
 That means the results reflect 2 months of [ scaling ] and 1 month of the combined operation. I think the easiest way to understand this is to have Wade go over our financial presentation. Wade? 
Wade King: Thank you, Rory. Earlier today, we issued a press release describing our second quarter 2023 results. We are also filing our Form 10-Q for the quarter today. For additional details about our financials for second quarter 2023, please refer to our press release or filings with the SEC. 
 As Rory described, we are excited to bring the 2 leaders in gene editing and agriculture together in our recent merger. Today, we are reporting financials as part of this transition from the legacy Calyxt business alongside the combined company business. Now for our second quarter 2023 financial results. 
 Cash and cash equivalents as of June 30, 2023, was $50.9 million. The company believes our cash and cash equivalents will enable Cibus to fund planned operating expenses and capital expenditure requirements into the first quarter of 2024. 
 R&D expense was $8.4 million for the quarter ended June 30, 2023 compared to $3.2 million in the year-ago period. The increase of $5.2 million is primarily related to increased lab supply and facility expenses and increase in employee headcount and an increase in stock-based compensation expense for restricted stock awards, award grants and the acceleration of share vesting associated with stock award agreements due to the acquisition of Cibus Global, LLC. 
 SG&A expense was $11.1 million for the quarter ended June 30, 2023 compared to $3.6 million in the year-ago period. The increase of $7.5 million is primarily related to an increase in headcount, increased consulting and legal fees and an increase in stock-based compensation expense for RSA grants and the acceleration of share vesting associated with stock award agreements due to the acquisition of Cibus Global, LLC. 
 Nonoperating income was $1.3 million for the quarter ended June 30, 2023 compared to $4.3 million in the year-ago period. The decrease of $3 million in nonoperating income is due to changes in the fair value of the liability classified Class A common stock warrants. 
 Net loss was $20.5 million for the quarter ended June 30, 2023 compared to net loss of $2.5 million in the year-ago period. Net loss per share of Class A common stock was $2.74 for the quarter ended June 30, 2023 compared to net loss per share of $2.66 in the year-ago period. Now I'll turn the call back to Rory for his further remarks. 
Rory Riggs: Thanks, Wade. In addition to the financials, this quarter will also be a little different as we look at this quarter's release as the inaugural call for Cibus as a public company. Because of this, the format will be a little different than a typical call. Our goal today is to begin to develop an understanding of who Cibus is, our business goals, strategy and milestones. From here, the plan would be to do quarterly calls to review our finances and provide updates on our commercial progress as we launch our developed traits. 
 The merger between Calyxt and Cibus was a great onetime opportunity to merge the two pioneers in gene editing. The union is significant because in the early days of gene editing, Cibus, Cellectis, Calyxt's agricultural subsidiary in University of Minnesota, one of the founders of Calyxt, were the leaders that were developing the field of agricultural gene editing. 
 All this essential agricultural gene-editing technology from this period now resides in Cibus. We're really excited to be working with our colleagues from Calyxt and take advantage of all this great intellectual property. 
 The merger also allowed us to become a public company. We believe 2023 was a good year for us to go public as it is the point of inflection year for us as we transition from R&D to a commercial company. As part of this transition, we laid out a list of 2023 milestones that were critical to this transition. We're going to be really excited because we have already accomplished many of our 2023 milestones and are on target for our remaining ones. 
 The key milestones that we have accomplished are multifold. We first successfully made the initial transfers of our initial trait products. We have 3 developed traits, one for pod shatter reduction in canola and winter oilseed rape and 2 for herbicide tolerance in rice. Our business involves editing our traits in the elite germplasm customers and returning or transferring back to the customer their lead germplasm with [ Cibus ] trait. 
 Since our merger was announced in January, we have successfully returned our first 3 traits into a canola customer and 2 herbicide-tolerant traits to a rice customer. Additionally, we expect 5 more canola transfers in 2023. 
 In addition, we opened the Oberlin facility, the industry's first gene-editing production facility. This system is critical to our commercial model that involves editing a customer's lead germplasm and enables us to perform these edits at a commercial scale. 
 Finally, we have 3 traits in development. Two of these traits are in advanced stage of the development, going through greenhouse and field validation. One of the trade is for Sclerotinia resistance. This is an important trait to both canola and soybean. We've already released very encouraging greenhouse results for this trait in Q2 '23. We expect more data on this important trait in the second half of '23. 
 The last part of our business, which is helpful to discuss is our ability to get major seed companies to work with us in breeding collaborations to develop our current traits, but also to develop new traits with customers. And so we are really excited to announce today that we have entered into a breeding collaboration with Bayer to test and validate our Trait Machine process and our ability to edit a lead germplasm and return back to customers their plants with edits in them.
  And then we have others following up, and this is a really big moment for us as we start to develop this whole new industry, where we can put advanced traits in the seeds in a fraction of the time and cost of traditional [ breeding ]. These milestones are what we mean when we say that 2023 is an inflection year for our business and is path to a fully commercial company. 
 Importantly, these milestones help nframe this new industry of high-throughput gene editing that we are building. Our goal in the call is to use these milestones to form a base on which to report our progress in building the company in this new industry. In 2023, we started transferring trait products on customers [ mutual requests ]. We started production runs in the industry's first high-throughput trait production facility. 
 We signed an important collaboration agreement with leading seed companies to develop this industry further, and we had major regulatory milestones, anything that trades from high-throughput gene editing on our path to be regulated similarly that traits from               ]. 2023 so far has been quite a year. 
 Now I'm talking -- I'm going to break, and we've put a couple of slides together to walk you through our business, our goals and our prospects and give you a framework so that as we quarter-to-quarter start educating you on our progress in our pipeline, you'd have a better position for you to understand this. 
 I'd like to start this section with a slide we use every presentation, which is a slide of my senior management team. What's really exciting about this company is as a co-founder, so I have been a part of the                 as my analysts at [ BioMatrix ], I've been with Wade for over 20 years. It's really exciting to come back and work with them again. 
 And then we're very excited that we recently hired the former General Counsel of Syngenta, and he used -- ran their licensing. It's really important for us as we start to build our business and our trait development business. 
 A little background on who we are. Cibus is in the productivity trait business. As such, when we create products, we look at this line use here. It's the slope of the productivity increases in the seed industry over the last 50 years. Our job is to help maintain or grow the slope of this line. That's what people in the seed industry do, we're in the seed industry. 
 This is what editing does. It changes existing genes within a plant so that the plant can protect itself from things like the environment or disease. Importantly, our products directly impact the yield and cost of farming. In other words, our products impact the slope of this line. 
 We are paid for our products based on seed sales with our traits. Our royalties are based on a percentage of the economics or value from our trait to a crop. This is essentially the same basis Apple place Qualcomm for components Qualcomm supplies to your iPhone for an ingredient in a business, and we're paid for the value we bring to that product. 
 In the seed industry, there are essentially 3 principal tools that are used to improve yields for the major crops. First is improvements in the germplasm, that's the genetics of the seed itself, wherein there's improvement in new traits. And these are the traits that allow you to better manage the environment. And third, there's chemicals, crop-protection chemicals. 
 With the impact of climate change coming and the pressure to decrease chemical usage, germplasm and trait improvements are the center focused to date to improve productivity and scale. This is our business. 
 The licensing of intellectual property associated with traits is an integral part of agriculture. The royalties paid for productivity traits for the major crops is estimated to exceed $10 billion. This is roughly equivalent to operating profit for the global crop protection chemicals business. The target market for productivity trait business is roughly the same as the target market for agricultural chemistry industry. Disease, pests, weeds and the climate were all focused on the same general targets. 
 The economics are very straightforward. For each crop, there's always two principal drivers of productivity trait [ growth ]: First, the number of acres in a crop impact                 trait; and two, the trait acres per [ plain ] for a specific trait. 
 A great example of this is our first disease trait for Sclerotinia resistance. The number of soybean acres impacted by Sclerotinia is approximately 25% of the total soybean acres or roughly 50 million acres. The estimated trait range is approximately $7 to $10 per acre, which is estimated to be roughly 1/3 of the cost to manage Sclerotinia using fungicides. This equates to a $350 million to $400 million [ mark ] for Sclerotinia resistance in soybean. 
 The trait royalty market for this trait is much larger if you include canola and winter oilseed rape. But most importantly, these calculations are a great example of how to look at trait markets and determine the values for virtually every productivity trait on the side. 
 The BT trait is an excellent example of our productivity traits work. And the slide we're seeing here is an illustrative slide. These are real numbers, but BT is not our trait. BT is a very important trait in the industry. For corn and cotton, this trait revolutionized [ worm ] management, is currently used on over 90% of the acres grown for each crop, demonstrating the pervasiveness of this trait. 
 Trait fees range between $10 and $15 per acre. The total royalty to pay for this trait across all crops is estimated to be over $4 billion a year. The math is pretty simple. Total acres grown with this trait on them by trait fee or royalty paid per acre. 
                 is a lot like the movie industry. At the end of every season, the accountants totaled up the revenues and calculate the number of people, factors or companies that have earned royalties. This happens every season in agriculture. 
 New slide. This picture is meant to depict the process of conventional farming. Although a lot of technologies such as selective breeding have impacted this industry, it's still a slow, random and expensive process that has existed for centuries, if not millennia. GMO technologies have given us amazingly impactful traits like the BT trait, but these technologies are still very lengthy and expensive. The most recent study estimated that GMO trait requires on average 16.5 years and $115 million from ideation                . 
 The promise of gene editing is it can be the digital moment in agriculture. These technologies can materially change the time and cost of trait development, and we believe it will restart the productivity book started with GMO technologies. 
 I'd like to move that to Peter Beetham to explain this technology. To understand really what we do, you really have to understand what is the big breakthrough that Peter and Wade have accomplished. Peter? 
Peter Beetham: Thanks, Rory, and good morning, everyone. Cibus' high-throughput breeding or as we call it, the Trait Machine, changes the game. What separates Cibus in the plant gene-editing industry is its Trait Machine process. It is built using Cibus' patented Rapid [ Trait ] Development System, or RTDS. The process from ideation to [ lateral ] discovery or what I call the                , then editing to the field validation can take as little as 5 years. 
 The Trait Machine process is a crop-specific standardized end-to-end gene-editing breeding system that edits a single cell from an elite germplasm and generates the cell into the same elite germplasm with that edit. It is the first time-bound and reproducible breeding system in the plant gene-editing industry. It is the breeding system used at our Oberlin location. As we recently reported, we are excited to now have Cibus' new stand-alone gene-editing production facility. 
 Cibus believes that RTDS and the Trait Machine process represent the technological breakthrough in plant breeding that is the ultimate promise of plant gene editing, high-throughput gene-editing systems that are able to work as an extension of customers' breeding programs. 
 The Trait Machine enables the standardized reproducible system that develops traits in a fraction of the time and cost of conventional breeding with GMO processes. There is another aspect of the Trait Machine that has an equally important benefit to this new era: The ability to develop prototypes and to [ accelerate ] commercialization once the trait is developed. Prototypes validate specific edits in a crop that lead to a validated trait. 
 Cibus is focused on complex traits that involve multiple edits and in some cases, multiple genes. In many cases, such as disease or nitrogen-use efficiency traits, the ultimate product will consist of multiple modes of action. Prototyping multiple modes of action is difficult, but it is impossible in conventional breeding. This is a core attribute of the Trait Machine. 
 It is why we believe that we will be able to develop traits for many of the critically important traits like disease resistance that have been elusive using conventional breeding or GMOs. To us, these benefits are integral to our vision for the future of breeding. Back to you, Rory. 
Rory Riggs: Our best example of what Peter was talking about, regarding the timeline for the development of new traits, given the technology he's helped develop, is our Sclerotinia trait. Sclerotinia is a really important trait in both canola and soybean. It's [at amazing ] losses. And then we believe that this royalty in [ 2 ] crops is well over $0.5 billion a year of royalty. 
 But what we're most excited [ about this ] discussion is you see on this chart, the timeline for development. And timeline for development for this thing, it's exactly in line with our proposition of 4 to 6 years of development timeline for given the trait from the time you do it first. And you can watch us manage this trait and see how well we are managing this because it's an excellent benchmark for you to think about how we do               ]. 
 When we started at Cibus, we blindly assumed that we would not be considered GMO. Our [ brain ] was that if we could start developing technology that resulted in traits that are indistinguishable conventional breeding, we'd be regulated like conventional breeding. While we have to admit this vision has taken a long time. 
 However, over the last few years, virtually all major markets have either passed legislation or on a road to pass legislation that would regulate traits from our technology similar to the traits from conventional breeding. The last holdout and the most critical GMOs, the European Union in July proposed new legislation or something called new genomic techniques, or NGT. If pasted, the EU would regulate traits from our technologies as conventional-like. 
 In the                 we built, first built, we believe the remaining holdouts will quickly complete their process. In the meantime, the U.S., the U.K. and most of the Latin American countries have already passed legislation. 2023 has been the watershed year for [ genetic ] regulations in agriculture. 
 New slide. As I mentioned, we're in a productivity trait business. The technology is at the forefront of gene editing in agriculture. One of the key benefits of merging with Calyxt is that the combined company now own many of the core regional patents for gene editing in agriculture. The merger established a strong technology platform and leadership position as we move forward. 
 Our goal in this section is to provide an overview of our business today and the progress we have made in trait development with our Trait Machine and the progress we have made in commercializing our initial development traits. 
 New slide, 12. The best evidence we have of the efficiency of the Trait Machine process is that we currently have a pipeline of 6 traits. Three of these traits are fully developed and shipping. One is a canola trait for pod shatter reduction. The other two are for herbicide tolerance traits in rice. We have strong demand for each of these traits. 
 For pod shatter trait, we already have 10 customers that have entered into pod shatter breeding collaboration. Importantly, we made our first transfer to new seed in Q1 this year. We expect to make 5 more transfers by year-end 2023 of this trait in our customers' elite germplasms. 
 Two of these traits are in advanced stage of development. One is for Sclerotinia resistance in canola. The other is a tolerance trait for a novel herbicide in canola. Both traits are important traits for both canola and soybean. Sclerotinia resistance comprises 3 modes of action. 
 We had previously recorded positive results from the first mode of action and recently reported encouraging results for the second mode of action. We expect to release an additional greenhouse and field data by the end of the year 2023 for Sclerotinia resistance. 
 The last trait is for nitrogen use efficiency. This is a critically important trait for most crops. This eventually is trying to develop a plan that can maintain improved productivity with less fertilizer. We're just initiating this trait in canola and in rice. 
 For each of our trait products, we will regularly be reporting our progress in the greenhouse and in the field, and it will be a regular part of our quarterly calls, going forward. 
 New slide. The trait business is a crop-by-crop business. Although traits are important in many crops, each trait in each crop can vary on many levels since traits are affected by different geographies and environmental conditions. Our customer is always a specific crop [ team ] in each seed company. 
 In this way, you can think of a crop in Cibus as a business unit. And turn on the slide, you can see that we have a canola business unit, a rice business unit, and we'll have a soybean unit that essentially work with these companies to try to develop our initial trait and the pipeline of traits that go with it. 
 Soybean is important because it makes our Trait Machine operational in 200 million additional acres. Importantly, soybean farmers have been a leader in adopting new traits, especially the GMO trait. So we're really excited about moving into that marketplace. 
 We already have 2 traits which we already have demand for, that we're first launching in canola. And so the event of actually having a soybean platform is a really, really big thing for us that we expect to happen in the second half of 2023. 
 New slide. As we've discussed, cross-specific Trait Machine breeding processes is the key to our business. The Trait Machine enables us to enter directly into customers who lead germplasm and return the germplasm to the customer of our edit. 
 It also lets us build high-throughput breeding collaborations with seed companies in a crop, where we could work with them to help them develop some of their own traits. This is our vision, crop-by-crop breeding partnerships with seed companies, where we operate as an extension of their cross specific breeding operation. 
  Currently, we are in the Trait -- we have Trait Machine operational in 2 crops, canola and rice. This means we're in                 on those crops. By year-end, we expect to be Trait Machine operational in soybean, thus in the trait business in soybean. By year-end 2025, we expect to be in the Trait Machine business in both wheat and corn. We've already built crop-specific Trait Machine collaborations with the seed companies in canola, rice and soybean. 
 This slide, our business plans are pretty straightforward. We have a technology platform that enables us to develop more traits more quickly and with a faster speed to market. Using this technology, we have a pipeline of 6 traits, which -- of which 3 are developed and launching and 2 are in advanced stages of development, and the sixth is just initiating editing process. 
 We're currently have Trait Machine operational in two crops, canola and rice. In addition, we are close to being Trait Machine operational in soybean. Together, we estimate the royalty potential of these crops for the 3 developed traits and 2 advanced traits to be $1.6 billion. 
 And what's really interesting, you see this slide, is you realize that over on the canola side, we are validating and launching Sclerotinia and herbicide-reduction traits in canola. Those are the exact same traits that when we validate our business model for soybean, we're going to be able to go over and introduce in the soybean. 
 So it's not going to take developing a whole set of new trait development. It's transferring a trait from one crop to another crop, which is really powerful. 
 Our goal right now is to get these 5 traits commercial in these 3 crops. And that's what we'd like to integrate us on. If we can, it's a huge opportunity for us and that we're all really excited about. These are the targets, which we expect to update shareholders in the quarters to come. 
 New slide. It should be self evident by now that we're pretty excited about the milestones we've accomplished since we signed our merger agreement with Calyxt. Our remaining 2023 milestones are also foundational to our business plan. Our guidance in soybeans is obviously critically important. We have one of the two mega crops for trait development. We believe we will have the Trait Machine process completed for soybean by year-end. Placing soybean ties into our other two milestones               ], we expect to announce additional greenhouse and field data for our Sclerotinia-resistant traits and our HT2 trait in canola. 
 These are the cornerstones for our advanced traits. They are huge traits for canola, but also huge traits for soybean. It's our intention to start editing of soybean for these traits as soon as our soybean platform is operational. 
 Together, these milestones successfully move us from R&D to commercial, with over 250 million acres operational, a pipeline of 6 traits and major [ seed-editing ] partner through all new crops. We have signed trait collaboration agreements and have transferred their germplasm to Cibus. 
 Together, they complete important milestones that make 2023 the huge point of inflection receivers, and we believe for G&A in plants in general. And this slide is particularly important because it is our milestone. This is our first guidance for our first quarter, and we hope you'll [ agree ] with us on this. And for the next quarter, we hope to tell you how far we've moved in moving [ Cibus ] forward. 
 And in general, this is how we take these quarterly calls, and we'll try to get you excited about some of the stuff we're doing anyway to show you how the new industry moves. 
 Thanks for listening to our business overview. As evident, our business currently is driven by our execution to get to developed traits launched commercially and together of developing traits to sell it. The royalty potential in just these 6 traits in the 3 crops is immense, the material increases as we had in wheat and corn. And these activities are really consistent with being a commercially driven company. 
 We're going to show the industry how gene-editing traits work. In our subsequent calls, we'll focus on tracking our progress in hitting these milestones for each of these products and keep you posted on new trait developments. And with that, let's go to Q&A. We'd love to take some questions. 
Operator: [Operator Instructions] Our first question comes from Laurence Alexander with Jefferies. 
Laurence Alexander: So I guess, just first of all, with the cash burn, can you just characterize whether it is expected to be steady, front-end loaded, back-end loaded? And how much of what you've sketched out as your initial cash burn is tied to products that are not the first 3 commercial products.? 
Rory Riggs: Thanks, Laurence. I just want to say one note before we start. We actually thought our slides were going to match up to the language. We apologize if it didn't for the people on the call. And I'll let Wade walk through the cash. We expect it to be even, believing what -- I think the question of cash burn, where we are and how we manage it is a critically important question for all shareholders. Wade, do you want to take a shot? 
Wade King: Sure. Laurence, this is Wade. So our operating burn currently is about $6.5 million per month. We expect that to trend up at the end of this year towards $7 million per month dollars. That obviously supports all of our facilities. It includes the new Oberlin facility, which is our dedicated Trait Machine facility in San Diego. Of course, our headquarters in Nancy Ridge, it includes also the Roseville facility associated with the old Calyxt, and that's 43,000 square feet. 
 So it takes into account, obviously, both our operating needs and also our capital expenditures associated with making those -- all those facilities fully operational from a Trait Machine standpoint. We added 80 people last year to the company, and we've moderated the increased headcount since then. 
 So we expect, frankly, the                 capital needs for the company to be steady from here, incremental increases associated with adding individuals and CapEx requirements to those facilities on an ongoing basis. So hopefully that addresses your question. Once again, $6.5 million per month, trending up to $7 million per month and then steady from there. 
Laurence Alexander: Okay. Great. And then just secondly, can you unpack the difference between a trait going into kind of the breeding collaboration versus the transfer stage? And once it gets into the transfer stage, what the timeline is for cash revenues to hit your P&L and cash flow statement? Can you just walk through kind of the cadence of the -- particularly for the 3 products that you've already commercialized? 
Rory Riggs: Excellent question. So we're starting to transfer trait developed to our customers. And we -- what we -- guidance we've given, Laurence, is that we think it will take 2 to 3 years for them to do the things they necessary to validate, register, build up a seed inventory and get launched. And so we expect 2 to 3 years after we transfer to a customer that we'd start to see revenues. 
 We think that, that could be a little bit faster in rice because of the nature of how the rice market works. But in the canola market, we think that those are really solid numbers. And in the rice market, we're going to learn, but because of the nature of how rice is transferred and work, I think that it could be faster. 
Laurence Alexander: Then just one last clarification, and then I'll hop back in the queue is once the product is launched, can you give a sense for the lag, if any, for you to be paid? Do you get paid at the into the planting season, the end of the harvest? Can you just walk through kind of what -- how the model should work in terms of getting the royalty payments to start flowing through to you? 
Peter Beetham: So Laurence, this is Peter Beetham. Thanks for that question. I think that with regards to canola and our relationships with all our customers, it will be basically at the end of what they call counting bags at the season. They plant, and then when they get all their returns in, so around midyear, they'll come back to us with an analysis of exactly how many bags were sold, and then the royalties per acre will be sent back to us. 
Wade King: And I'll just add, Laurence, this is Wade, that, that sums up to the fact that our expectations, we like giving ranges, sort of have royalties showing up on the P&L from customer shipments in the range of 2025 to 2026 first royalties. 
 And then, obviously, free cash flow generated in the range of 2026 to 2027 first free cash flow generation. So hopefully, that gives you a range of metrics as it relates to model expectations. 
Rory Riggs: Can I get one more, just -- I always -- you've heard me, Laurence, say that I look at this a lot like the movie business. At the end of the season, suddenly you look at all the players and figure out who you have to pay royalties to. 
 And so the way Peter explained it is, from our understanding, exactly what happens in the ag business. At that point, they look at all the customer [ headcount ] of royalties out, and they look at all their people, they have royalties, too. And I think the whole industry reflects our royalties essentially at the same time. 
Operator: [Operator Instructions] our next question comes from Steve Byrne with Bank of America. 
Steve Byrne: I have a couple of questions about the potential to put HT2 and Sclerotinia in soybeans. First, can you highlight what is HT2? Is there -- does that represent a different mode of action from the multitude of herbicide tolerance transgenic traits that are in soybeans right now? So is it -- is that different? 
 But perhaps you could highlight whether there's any difficulty putting your gene-edited traits into soybeans that are full of transgenic traits. There's there's some talk out there that if there's a transgenic herbicide trait in there, it makes it pretty difficult to do gene editing in there. Can you comment on that? 
 And then with respect to putting a gene edited trait into a crop that -- like soybeans that gets exported, does that require European import approval for the gene-edited trait, which obviously now is essentially precluded? 
 But as you highlighted, that regulatory operation is set for streamlining. So is that -- do you need that European and regulatory change in order for you to get -- to put these gene-edited traits in soybeans that are going to be exported? 
 And then sorry, but one last one on this, and that is you put your gene-edited traits in soybeans. In some parts of the world, those seeds are saved. Do you have any concern about being able to collect royalties on your gene-edited traits, given the grain handler can't detect it? 
Peter Beetham: Thanks, Steve. This is Peter. I think I've got most of your questions. 
Rory Riggs: It was one question on... 
Peter Beetham: So first of all, we are so excited about the abilities of what we have in front of us with soybean. I think the -- as you mentioned, HT2 and Sclerotinia tolerance are 2 traits that are really going to change how people think about trades and soybean, not just here in the U.S. but in South America as well. 
 So I think the HT2, I can tell you, is a -- it is a new mode of action. And with our partners, we'll be looking to add those, stacked potentially in soybean that allows farmers to have a much broader weed control system. So in some cases where they may need some additional herbicide tolerance that allows them to control really tough weeds. So it gives you a really great opportunity to think through the product lineup, adding HT2. 
 This is something that a number of our partners have talked to us about. And as you know, we have a relationship with GDM in Latin America. And that is one of the areas that we'll be working with them on. 
 The other area is also is also Sclerotinia. So white mold in soybean is a really important trait. We do see the potential to stack this on with other approved event transgenics. 
 I think the other question you mentioned was EU import. And the way we understand it right now is that, again, there'll be approved events that you'll be able to work -- that already are imported into Europe. But the gene-edited add -- addition, understanding that the proposal that they just approved in July will also -- not only planting in Europe but also pave the way for imports and exports, and so we're excited about that. 
 Then the last question I think you had was safe fees. We are in the tender [ trove ]. We work with our customers to provide traits. The customers will be managing how that goes to market. And with regards to safes, they deal with that on a yearly basis. And I think they manage that very well and understand that there are some areas of the world that farmers will save seeds. So we have no concerns about taking the traits to market and having safe seeds. 
Steve Byrne: Thanks for answering this one quick question, Peter. One real quick one for you, and that is to Sclerotinia. Would you have any interest in expanding into fruits and vegetables? I can imagine there could be interest there. 
Peter Beetham: So Steve, that's a great question. I think the way I look at Sclerotinia, it's one of our blockbuster traits. The beauty of our technology that we're bringing to the marketplace is it goes across crops. And so you have this understanding of disease resistance you can take from canola to soybean and then into other crops that have white mold problems. So that's something we'd love to do in the future. 
 Right now, as a company, we're really focused on -- as Rory mentioned, in the script of the deck, we are really focused on our first 2 crops with the 3 traits, expanding to 3 crops and 6 traits. But in the future, the ability to take the technology across crops and then also across different traits is really exciting for us. 
Rory Riggs: And you should know that,  if I can add, that this exporting is such an important topic within the European legislation, is our understanding as they proposed it. That problem will be solved for us, which is a really big event for us. 
Operator: Our next question comes from Bobby Burleson with Canaccord Genuity. 
Bobby Burleson: Sorry about any background noise here, we're at our growth conference. So I guess my first one kind of, I guess, touches on the end of your last answer. 
 When we start thinking about the learnings from crop-to-crop or even trait-to-trait, are there synergies that start to gather in terms of customer overlap or with the germplasm, where it eases maybe the pathway to additional collaborations and kind of derisk things, going forward, once you get some momentum? 
Peter Beetham: So Bobby, this is Peter again. Again, that's the part that, from a technology standpoint, we're so excited. We understand the -- what to add it probably better than most companies. We've had a really strong history of understanding edits, complex traits like disease resistance. 
 So understanding those what you need to edit, allows you to think more broadly, and there are synergies associated with that. So when I say broadly, it means that not only Sclerotinia but other diseases that are caused by packages like                 as well as rust and other diseases that are really important constraints on agriculture broadly. So you're absolutely right, this is an opportunity to use that synergy to go across a number of different diseases. 
Bobby Burleson: Great. And then maybe just understanding the technology mode here outside of patents, your Trait Machine process and how you've created something that's time bound and reproducible, what aspect of the different stages that you guys outlined there is perhaps outside of ideation may be the most difficult for some of your partners to replicate on their own in terms of doing this in-house? 
Peter Beetham: Thanks, Bobby. It's Peter again. I would say that the time bound and reproducible Trait Machine is one of the most exciting things I've seen in the company in the history. It is -- as you saw on the slides, it's a 3- to 5-year process. What's been most exciting for me is to see the ability of the team to take single cells through the whole regenerated plants. This is something that is not standard in any cell biology around the world. 
 And so I think our abilities in that area is not just getting 1 or 2 cells to divide and go in to regenerate it. We're talking about millions, so an efficiency rate that is beyond what you can even -- what even I imagined a few years ago. So I think that for us, that allows us really to know about the secret sauce that is central to what we're doing in our cell biology team. 
Rory Riggs: And I'd just add a point to that from ideation, without having the ability, one, to be able to do complex edits and secondarily have this regeneration model, which we call a crop-specific Trait Machine process, it's really hard to think through how to -- after you ideate, how to do a complex trait. 
 And really it's because of that, that we now have this 3 to 5 years, and you can see it in the Sclerotinia results that we're pretty confident that it's just  -- you'll just laugh and I'll comment [ run-rate factoring ] maturity award because we grow these cells up and have a crop at the end and it's pretty well timed. And that's -- I appreciate the question. 
Bobby Burleson: Great. And then maybe one last quick one here on nitrogen use efficiency. Curious whether or not any traits that you introduced there are compatible with engineered microbial solutions that might be applied around the plant, around the root structure? Is this symbiotic with other solutions that are externally applied? I know it's early stages in terms of what you're exploring there. 
Peter Beetham: So Bobby, this is Peter again. Another great question. When you think about nitrogen use efficiency or what we often call it nutrient efficiency, there will be synergies in symbiosis with microbes in the soil. We have a number of different targets, we've studied and looked at on nitrogen use in plants. And it is -- a lot of the interaction does happen within the soil. It also happens within the plant. 
 So we're looking at a number of different targets, primarily because we have a technology that does target multiple genes and multiple edits. So it really does open the opportunities for us to look at what is out there on the biological side and how we might actually have some synergies and interactions on that front. So yes, it's an exciting opportunity. 
Rory Riggs: And you framed it well that when you look at nitrogen use efficiency, it's above-the-soil and below-the-soil traits. And then our first one is below-the-soil trait, but you'll learn as we go forward how they divide. 
Operator: We have a question from the line of Laurence Alexander with Jefferies. 
Laurence Alexander: Sorry, just a couple of follow-ups. First, with the collaboration evaluation with Bayer, or if you want to speak more generally. First, are you prohibited from entering into similar evaluations with other seed companies? 
 And second, can you give some sense of what the kind of the holy grail here is, what the blue sky -- kind of what the targeted efficiency gain that you want to deliver that would then be split between you and them in terms of a value sharing? And what's the goal with the collaboration, can you just try and quantify it? 
Rory Riggs: It's a great question because it goes to the core of our business model. And we now have customers in all the crops. Let's say we have 12 customers in each one, it's the same model that they send us their elite germplasm. We then, with elite germplasm, try to work with an initial trait. And so in canola, for example, everybody starts with a pod shatter collaboration agreement, where we try to put pod shatter into their lease germplasm. 
 And our goal as a business is that once people see how that works, that we will then turn that into broader collaboration agreements, and we expect you to hear of us signing into broader collaboration agreements. And in those broader collaboration agreements, we expect to do two things: one, be able to advance our pipeline of traits. 
 So if you're in Sclerotinia, it's not a secret that if we -- if you're in canola, if we have Sclerotinia developed that they all have really indicated they would love to have that trait in their germplasm, so that's how you extend to a broader -- and secondarily, everybody seems to have ideas now as they understand what our process is to be able to evaluate new ideas. 
 And I think the way we look at Bayer is just in that agreement is just to understand, like a lot of our customers, how does our process work, how efficient is it and how to think about it with respect to our current traits or future traits. 
 And I think that everybody needs to go through that sort of valuation before they can sign on and go, "All right, I'm ready to put you into my system." And this is sort of Bayer putting themselves in that process and working with us. 
Laurence Alexander: And then you mentioned whether -- you mentioned kind of everybody in the industry cross-licenses technology. With you -- royalties, how much of a drop through to EBITDA do you expect to see? I mean, will you be having any technology licenses or leakage that we should be taking into consideration? 
Rory Riggs: Could you rephrase that? I'm not sure I totally understood that, I apologize. 
Laurence Alexander: So when you receive royalties -- some companies in this sector when they receive royalties, they then have to pay IP payments to other companies. They settle up. There's a fair amount of leakage. I'm just curious as to what you think if you get a certain royalty amount, what the contribution to EBITDA should be? 
Rory Riggs: Thanks very much. First, you should know also with               ]. So far, everything we're doing is nonexclusive. We're working with people generally across all these crops, and we'd like to kind of be the utility that we can be all exclusive. 
 As far as to traits, we don't have any other technology royalties that are due. We have a 10% royalty that's due to early on in our financing. We did a royalty financing where the investors got a 10% royalty in our revenues. And so that would be a deduction from our revenues. 
 And secondarily, we have created a foundation for investing in sustainable agriculture in development countries. And that's a -- after we get $50 million of royalties, there'll be a 2% deduction to this nonprofit to start doing developmental work in agriculture. [ In other words, there will be no ] other deductions. 
Laurence Alexander: Okay. Great. And then just lastly, probably a predictable answer on this one, but what's your bandwidth or appetite for M&A if other early-stage biotech assets become available the way Calyxt was? 
Rory Riggs: That's a great question. We're -- as we -- the next 1.5 years, we're so focused on getting our 5 [ products ] out there. I want to you give a 2025 to just say, "You've got your 3 platforms going your trait or [ rooting ], we have our customers." 
 At that point, we really would love to be able to start thinking through how the industry shapes and how we can be a real participant in the industry, and we'd be open to it. I think for the moment, we're really focused on doing what we're promising. 
Operator: This concludes our question-and-answer session. I would now like to turn the call back over to Rory Riggs. 
Rory Riggs: Thanks so much, [ Joan ]. This is really -- for all of us, this is sort of -- we now realize we're public. This is kind of cool. [ That was ] a real public offering. We put our documents together. We really are focused and we really are excited about where we are with our traits and where we are with this process. 
 So thanks for following us, and I hope to be able to show you really how the progress works in this new industry. The idea of having an independent trait producer is a new concept for agriculture. And I think that the reception we're getting from customers and the quality of the traits we're developing is helping us to get to that point, but the Calyxt still helped us. So thanks very much for listening, and we look forward to talking to you in future calls. 
Operator: This concludes today's conference call. Thank you for your participation.